Operator: Thank you for standing by, and welcome to the Ansell Limited FY '25 Half Year Results Call. [Operator Instructions] I would now like to hand the conference over to Mr. Neil Salmon, CEO. Please go ahead.
Neil Salmon: Thank you, and thank you to all of you for your continued interest in Ansell as we update you on our progress over the last 6 months. And let me begin with a slide that summarizes the content we'll cover today and also what I hope you will find are the key takeaways from our current performance as a business. Firstly, in terms of performance overview, and I'm very satisfied to report double-digit top and bottom line growth, and that's come as a result of meeting or exceeding all our FY '25 first half year performance objectives. Significant as part of that, our results from the 2 major investments we've made: The acquisition of the KBU and our productivity program. Both those are on or ahead of the goals that we previously communicated to you. Also significant to the result is our continued focus on what we consider to be our drivers of long-term growth and sustainability, and I'll outline how we continue to invest behind those. I'll then hand over to Zubair, who will summarize how that comes together in a strong financial performance and also an increasing balance sheet flexibility, all of which gives me confidence today to increase our overall EPS guidance range for the year. Having summarized that, we'll then give you an opportunity to ask us questions. So to that performance overview. And as is our pattern on the left-hand side of the page here are the goals that I communicated to you at the beginning of the fiscal year. In the middle is my progress assessment against those with summary financials to the right. So the key, as we began the year, was to maintain improved organic sales growth in Industrial and see Healthcare return to organic growth. So certainly accomplish both those goals. Very pleased with the 16% organic growth in Healthcare and the 8% growth in Industrial. Healthcare is clearly showing evidence that the destocking effects for the last couple of years are firmly behind us, but we also saw some benefit from the catch-up of delayed surgical orders that we communicated to you 6 months ago had been deferred from June fiscal year '24. Industrial success largely driven by new products. The KBU business is performing very well, 7% sales growth, strong performance in the Kimtech range, in particular. The APIP program remains on track to the elevated goals we communicated a year ago. And that, together, resulted in very satisfying EBIT growth, 21% on an organic basis and significantly more on a reported basis. Strength in the first half, plus my confidence in the second half, are reasons I'll outline in a moment, are behind our increase in the guidance range. On the right-hand side, I also want to point out the net debt-to-EBITDA leverage of 1.6x, which is well below where we thought it would be at this stage. Strategic investments at the bottom of the page are critical, but I'll cover the details on those in a moment. So to the next slide and a focus on our business unit performance. And what's particularly pleasing to see here is how every business unit has contributed and every part of the Ansell portfolio is performing at or above our best available benchmark of what market performance is in the current environment. Very satisfying to see above 10% growth in Mechanical, but also that, that's really been driven by the success of new products. We've talked to you before about our very promising Ringers impact protection range, but also our HyFlex ultra-lightweight cut protection products are also showing some of the fastest growth we've seen after launch of new products. Within Chemical, the performance has been across the range, both top end and bottom end, hand and body protection ranges, but it's really that higher margin, high-end Chemical portfolio, which is gaining traction with markets that is most important and most promising for the future. And AnsellGUARDIAN is also critical to the success, as I'll cover in a little more detail in a moment. Another strong half for the Exam/Single Use business and again, growth coming from the more differentiated products largely made in-house. And then you can see here for both Surgical and Cleanroom, we're seeing strong growth in comparison to the half year last year, which was really the last period in which we saw destocking reduced demand on Ansell. So overall, strong delivery across our business units. Turning now to delivery against those key investments we've made. The KBU business has performed above our expectations, very satisfying to see the organic sales growth of 7% and also strong margins across the business geographically and in terms of the portfolio. And that's coupled with good progress against integration means we're well ahead of where we thought we would be in terms of value creation from the business case. Some more specifics on integration. So the key milestones are in the second half of fiscal year '25. But as I stand here today, I'm confident that we will be able to cut over from Kimberly-Clark transition services to Ansell integration ahead of our original target of the end of fiscal '25. We will do that in a phased manner, beginning with our larger territories in North America and EMEA and then followed by our operation in Latin America and APAC. As part of that, we are midstream in transferring responsibility for selling the KleenGuard industrial safety products that until today has still been supported by the Kimberly-Clark sales team, and now we're in the process of transferring those to the Ansell general industrial sales team, which is very important to the focus and support required to get this business growing. So overall, we're on track to complete the integration and exit transitional services before the end of fiscal year '25. I'm holding to our net pretax cost synergy target of $10 million. It's still a little early to revisit that view, but I do expect now an earlier delivery of the first part of those savings in the second half of fiscal year '25 versus my previous expectations. On the APIP program, I have a relatively straightforward update for you here. We're on track to achieve our fiscal year '26 pretax savings target of $50 million. And we're also on track to deliver within fiscal year '25, the savings we targeted for this year. I won't go through in these details as they're largely in line with previous communications to you. I would say, though, that for fiscal year '26, the focus of this program moves to our ERP upgrades. We've had continued success rolling out this platform to our manufacturing sites. But from fiscal year '26, we began rolling it out in our commercial operations. So success is coming, as I said before, through consistent focus on the drivers of long-term growth. And we grouped those under 6 headings. Today, already, we have leading positions in growing markets, and we look to build on that. And I'm clear that the new customer-focused organic organization structure that we put in place about 18 months ago has been effective in strengthening our connection to the end user and ensuring that is the core of how we drive growth. But I also see improved emerging markets results. We streamlined our operations there. We're operating more as One Ansell in those markets, and I see that enhancing growth and therefore, building Ansell's further geographic diversion. I've already commented to how our comprehensive product portfolio that we continue to innovate is key to our current success. I want to say a little bit more about the service solutions, and these are increasingly valued by our customers. We've expanded AnsellGUARDIAN now to cover our medical operations as well. And using the Guardian methodology, we're able to communicate clearly to hospital systems, how, for example, in converting from standard to more advanced synthetic products, they can achieve overall productivity savings as well as improved patient and health care worker outcomes. As another example, we've continued to invest behind Chemical Guardian. And remarkably, this tool is now used approximately 200 times a day in support of customers, which is either our sales teams querying the database on behalf of customers or customers themselves gaining direct access to this very valuable data asset. I'll talk in a moment about our resilient supply chain, which is fundamental to our ability to navigate through the next period of time. One specific highlight for now is the construction of our surgical facility in India. I'm very pleased that we chose India as our site for the next major expansion. Construction is largely complete, and we're in the lengthy validation phase necessary for surgical glove products. Sustainability leadership remains important to us. And we're focusing particularly on how, when we introduce new products or when we look at rejuvenating existing products, we can do so in a way that features more sustainable materials while also improving product performance and with minimal cost expense either to Ansell or to our customers. A further aspect of our sustainability leadership is the RightCycle, recycling service, an aspect of KBU business that's now a service within Ansell, and we're looking to expand that more broadly. But all of this is only possible if we stay focused on generating cash flow. Again, our improved demand and supply planning processes are critical to a good cash flow results in the half. And everything we do here needs to ensure that we continue to generate good cash returns out of our business. So those enable us our value, create shareholder results through the 4 boxes at the bottom of this page that I won't go through specifically at this time. So to that global diversified supply chain. You know and you've seen before that we have 14 different manufacturing clients. Perhaps the more important statistic though is that they are in 9 different countries, and that's supported further by an extensive outsourced partner network. And really, that's what you need at this point in time. You need a flexible supply chain, you need options. And certainly, we believe that creates competitive advantage for Ansell at this time. Our largest combined manufacturing outsourcing locations are Malaysia and Sri Lanka. For some time now, we've been working on a strategy to ensure we minimize our single-country dependence, whatever country that may be. Specifically, for China as part of our APIP initiatives, we've been scaling up production in Sri Lanka so that Sri Lanka is able to make the same products that historically we only were able to make in China. And that also, of course, reduces our dependence on exclusive China sourcing to the U.S. Overall, our best view of us versus the industry is that Ansell exports fewer China-made products to the U.S. than the industry more generally. And of course, we've taken actions to reduce that China sole-country dependence. But we also know that other industry players are adopting similar strategies. Specific to Mexico and Canada, we have no Canadian-made products as part of our supply chain. We have a very limited number of products that are made in Mexico, but overall, not a significant exposure. And then a general comment, I do believe -- and these comments have been supported by others in our industry -- that, overall, should tariffs come into effect, our first step is to try to mitigate those through sourcing options. If that's unavoidable, then we do expect to be able to pass through tariff increases to our customers. So a final word on sustainability before I hand over to Zubair, and generally, I focus on this page more at the full year. So just a couple of comments. Firstly, you may remember last year, I was clear that the number of injuries we've seen and our total recordable injury frequency rate had increased after many years prior to that of reduction. So this year, it's very satisfying to see a substantial improvement in the TRIFR rate, and that gets us back on or even ahead of our 2030 targets there. And secondly, we are ranking midstream onboarding the KBU suppliers on to Ansell's very well-established supplier management framework. Overall, I'm satisfied with our initial assessment of those suppliers, and I believe we can get them up to the overall rating that we expect of all Ansell suppliers within our targeted period of time. To the right here, we're generally on track to our sustainability goals, particular focus in that last bullet point of how did we also ensure through product innovation that we're reducing the environmental impact of our PPE portfolio. So with those comments concluded, I'd now like to hand over to Zubair for more details on the financial results.
Zubair Javeed: Thanks, Neil, and hello, everybody. As always, I'll add a bit more color to that financial overview Neil just provided. But before I do that, I just wanted to begin with my own summary of the half. That's one where after many months, and maybe you could even say years, without those external pandemic-related hangover issues Neil has just referred to, such as destocking, we were able to over deliver on our commitments. And with that golden rule, I think clearly met, saying what you're going to do and then actually doing what you said you were going to do, and it's very pleasing that first half EPS came in at just under $0.56, as Neil outlined on an adjusted basis. You've already heard a comprehensive summary of the sales line, and so I'll start with GPADE margins, up 140 basis points versus that prior half. And when we were acquiring that KBU business, we did outline then we'd see a mix benefit from that business from their higher margins. And in our own business, we'd also expect operating leverage with a normalization in those Healthcare sales and then a further boost from APIP savings and all of that combining together to improve GPADE and GPADE margins. Now freight costs were a headwind to margins in the half. But some of that cost, however, was very intentional, and we see it rather as an investment because we used more expensive air freight than usual, building up channel safety stocks, and that was to support strong demand in some of those new product launches. Now as Neil mentioned, within our strategic or refreshed strategic framework, I should say, our commercial teams are very judicious about using multiple levers, such as air freight or higher safety stocks when they know that will secure competitive advantage and it will delight our customers. We also believe that's an extra point of differentiation, supplementing our very high-quality product ranges. And last, in terms of gross margin, we did continue to see inflation like so many businesses in a couple of key raw material items, but those increases are timing related and should be offset by pricing actions we implemented in January. Moving to that SG&A line. This was up 7% on an organic constant currency basis, and a couple of points to note here. Firstly, we've increased incentive accruals in the half, and that's commensurate with our better-than-target performance, evidenced by the upgrade in EPS guidance. And secondly, we incurred temporary higher KBU expenses associated with our Transitional Services Agreement. And I'd say the final point to note here is that those incremental APIP savings have indeed partially offset some of this increased SG&A spend. And as you'll see in the appendix, overall foreign exchange, a big talking point is foreign exchange around the world. That provided just under $1 million of a tailwind to our earnings for the half. And although underlying currency movements were unfavorable to EBIT, our hedge program has always working as designed and that muted some of this impact, and it left an overall modest gain in terms of foreign exchange. And so wrapping up all of that, we arrived at an EBIT increase of just under 21% on an organic basis. The significant items line, that's over $30 million, includes APIP expense and those KBU transaction and integration costs, which we signaled again on acquisition. EBIT margin was 12.5%, which is the best first half result, incidentally in my time as CFO at Ansell. And that excluding the fiscal '21 year, which included that pandemic sugar hit. Moving to the net profit line. Interest here was higher due to the incremental borrowings required to fund the acquisition. And then lastly, our effective tax rate came right in as guided at 23.5%. So overall, a good start to fiscal '25, and it's promising momentum in the business, which we're fully focused on maintaining through to that second half. Turning to the next slide here on the Industrial segment. As Neil mentioned, we've got organic constant currency sales growth here of over 8%, and it's pleasing to see growth in both Mechanical and Chemical. And that was largely, as we've just hear, a better mix in Mechanical, where we had very strong contribution from those great new products and volume growth in Chemical, where we're winning with our range of high-end chemical gloves and suits as Neil mentioned. And that's after multiyear program and targeting that exact type of product range. Now with EBIT growing at a faster rate than sales, clearly, our margins in this segment are improving and now at 15.5%, with APIP savings a key contributor, but also partially offset by those intentionally higher freight costs I mentioned earlier. Moving to the next slide, the Healthcare segment. Now here, if you pull our comments from our call a couple of years ago at the end of fiscal '23, and that seems quite a while ago, but then we anticipated, here in fiscal '25, we would see an end to customer destocking and end market conditions normalizing. With that, we're able to deliver strong top line organic growth with first half sales of just over 16% above the prior year. Now that was volume growth across each Healthcare unit and in particular, Surgical and Cleanroom, which both had those destocking effects in the prior comparable period. And as Neil mentioned, Surgical also benefited from clearing those back orders from fiscal '24, which were worth about $17 million. Earnings were higher on improved sales. You've got better operating leverage and growing APIP savings. Now the magnitude of that organic constant currency EBIT growth, in part, is reflecting that soft comparative period of earnings, no doubt in that, when we slowed our manufacturing production to prevent inventory buildup, but we also had the accretion from the KBU acquisition. So overall, it's good to see a return to those underlying fundamentals in the Healthcare business, but we're certainly not done in terms of further improvements there in the months and years to come. Now next, a quick word on input costs. Here, raw material costs, I think, is well documented externally as well. They're higher than expected, both nitrile and natural rubber latex, trending higher both through the half and against the prior year. But other raw material costs that we incur or that we use are broadly stable. We do continue to see inflation in conversion costs, and that's most notably in our employment costs driven by minimum wage increases across various Asian entities and some of our social compliance actions, which we're addressing or offsetting through various productivity initiatives. We also saw increases in some of our outsourced product costs, but we're passing them through to the market alongside these increases in key raw material costs. Now moving to that all-important cash flow slide, which, again, cash is king. I'm pleased to say we delivered yet another strong result. First half operating cash flow at just under $54 million, with cash conversion, a healthy 104%. Our teams remain very focused on cash, and we're able to offset one-off costs from APIP and the KBU deal and the investment in working capital with improved inventory turns and tight management of receivables and payables. Net CapEx was over $28 million for the half, and a big piece of that spend was funding the completion of construction of our new surgical plant in India. And of course, that last step there on the screen or on the slide there was the increase in net debt, which enabled that KBU acquisition at the start of the half. Switching now to the balance sheet. Again, very robust here, as you can see from the slide, and at the same time, we're now returning to that healthier trend in terms of our return on capital employed metric. When you strip out the closing inventory from the KBU acquisition, our working capital was broadly flat versus the prior year or versus June 2024. We did say at the time, KBU's outsourced manufacturing model, it requires lighter inventory carry. So we'd see some mix benefit in our turns from that, and that increased to 2.4 turns. Now again, this improvement is not just happening by chance, but rather it's through a lot of effort by so many of my colleagues, and it reflects that supply chain, continuous improvement that Neil referred to earlier. And wrapping up here, that ROCE metric did improve. It's just over 11% now on the back of those strong earnings and the KBU acquisition, where we're also seeing strong initial returns. So closing out my financial section here, a couple of words on funding profile. Firstly, adjusting for KBU. Our pro forma net debt was 1.6x our EBITDA at the half year, which is a small reduction versus the end of fiscal '24. Now with incentive insurance payments, which we typically make in the first half, our cash generation is weighted usually to the second half. And so I expect this ratio to -- or the net debt-to-EBITDA ratio to further reduce over the coming months. And also adjusting for the timing of the payment of the KBU acquisition at the start of the year, that net debt number did reduce by about $27 million in the half, and that's a really pleasing outcome given our focus on delevering as quick as possible. And as you can see on the slide, we have a very balanced maturity profile. The average tenor is just under 5 years. And much of our debt remains fixed, driving a close to average interest rate up 5%. Now with this kind of balance sheet headroom and that maturity profile, combined with the strong cash flow generation, we remain focused on seeking out value-accretive, both organic and inorganic, investments, but as always, we'll remain highly disciplined with our capital allocation. Now before I hand back to Neil, since this is my last results presentation as Ansell CFO, I did want to take the liberty of a few more seconds so I could thank everyone both on the buy side, listening in here, and the sell side for your very engaging interaction over the last few years. And let's call it encouragement. But thanks, especially to Neil and the Board and all my colleagues across the Ansell world where your unbelievably generous support and quite frankly, putting up with my high expectations and demands over the last 6 years or so. Now Ansell is a top-notch market leader. We have an amazing set of products combined with an amazing set of high-quality people with a culture I'm delighted to have been a part of, and I'm very pleased to be able to sign off with the company inarguably the best shape it's ever been in -- under Neil's leadership. And with that said, back to you, Neil, for final comments and Q&A.
Neil Salmon: Thank you, Zubair. So I'm glad that we are finally meeting your expectations. And indeed, if we talk to the half 2, firstly, yes, very satisfying to report on the results, which I think, largely, we can claim has come from our own hard work rather than any particular bonus or benefit we got from external market conditions, and I'll comment on that in the future in a moment. But we also know that in your minds, we're only as good as our next result rather than what we have just delivered. But let's turn our attention here to what's ahead. So -- and these are the objectives that I plan to report against to you in another 6 months. So firstly, keeping that focus on growth through differentiated customer solutions and maintaining the momentum behind new products, whilst also continuing to build that customer intimacy through AnsellGUARDIAN, RightCycle and other services. Keeping focus on operational excellence is essential. And clearly, the most important goals for the second half are firstly, to complete the KBU integration without any disruption to customers while also sustaining the productivity gains we are making both from APIP and from continued focus on productivity. And then we must make sure that, that global supply chain flexibility I referred to before comes to the table as we deal with a number of challenges related to cost competitiveness, including potential tariff impacts. My view at this time is we will be able to mitigate and manage through our tariff changes. But clearly, there's a lot of uncertainty at this point as to what exactly will end up being the final result there. And then we need to prepare for commercial ERP system upgrades planned for fiscal year '26. We'll stay very focused on capital allocation and wanting to invest capital for long-term competitive advantage. That means, of course, long-term shareholder value creation. So we'll maintain that inventory flexibility that Zubair referred to, to ensure that we can service increased customer demands. And we look to close out the surgical facility in India. And with the flexibility that the balance sheet gives, we're able to consider all elements of our long-standing capital deployment approach including further M&A, should the right opportunities present themselves. So more specifically to the reasons behind our increased guidance range. Firstly, with regards to market conditions. And here, I would say I haven't changed my view significantly. Any changes that are on this page are moderately unfavorable versus how I do things at the start of the year. So Healthcare, overall solid demand that we see and as commented a couple of times already, destocking is clearly now in the rearview mirror. In industrial markets, manufacturing demand conditions remain subdued. Generally, PMIs have continued to be sub-50 in most major countries. Perhaps in January, we started to see those improve, but it will sometime -- it will be some time before any improvement in PMIs reflects in changed demand conditions for Ansell. We continue to deal with elements of inflation. Ocean freight rates remain elevated versus more historical levels, and manufacturing labor costs continue to increase as countries push through minimum wages in many of the territories in which we operate. And then tariffs are a factor also that we will clearly need to navigate. And then finally, a strengthening U.S. dollar is unfavorable to our U.S.-dollar-reported earnings, not so much, of course, for our Australian-dollar share price. So what are the assumptions behind our increased guidance range? Well, overall, that we can continue to do well in terms of organic constant currency sales growth, but I do anticipate a slower growth rate in the second half, and that's partly as a result of those onetime items we've noted in this presentation, which are more H1 specific benefits than continuing benefits into H2. Zubair referred to higher raw material cost increases that we saw in the first half. And as you seen us do many, many times in the past, when we see higher raw material costs become established, we then put in place pricing to offset, and we were able to secure moderate price increases that have just gone into effect that will offset that in the second half. Although market rates for freight remain elevated, our requirement for airfreight should be less in the second half as we don't see the need to deploy higher cost freight options so extensively in order to meet the customer demand. I do expect that we will start to see the KBU cost synergy realization in the second half, and that's earlier than our previous view. With regards to tariffs, we have a number of strategies we're evaluating. And of course, those are subject to what finally happens with regards to tariffs. It's not only in the U.S., clearly, that we have to consider tariff increases. So either we mitigate through alternative sourcing options or we pass through the cost impact through pricing, whether we are able to do in exactly the same time period as the period in which tariff costs first impact us is a question. But overall, I view any timing lag to be limited and not to be material to our second half result delivery. FX is clearly a headwind. And we've factored that into our guidance. Far too far out from FY '26 to give any kind of longer-term currency exposure, but clearly, at this point, the stronger U.S. dollar is unfavorable to our underlying U.S. dollar earnings. APIP saving's on track. And then one-off pretax costs overall to be the same as previously indicated, but with some timing adjustments given the acceleration of our key programs. And then cash flow and capital management, we're sticking to the CapEx number of $60 million to $70 million, which includes a large portion of our investment in the India surgical facility. The dividend we've announced maintains our payout ratio policy. And as Zubair described, we see opportunities for further reduction in net debt to EBITDA, subject, of course, to whether or not we find further investment opportunities to build that long-term value creation. And so in conclusion, with the satisfaction I have and the confidence that this gives me in Ansell's underlying performance, that allows myself and the Ansell team to think about what will the next sources of long-term value creation be. And so we come back to these 6 pillars again. And some questions more related to where we can go with these sources of value creation. So leading positions in growing markets, we have those, but there's still opportunity to gain there in the markets in which we already lead and maybe there are opportunities for product and geographic expansion so that we grow our addressable market. But we'll only pursue those strategies if we're clear that we're leveraging Ansell existing core PPE expertise. I talked quite a bit about comprehensive product portfolio. I think the additional point to make is that what we've demonstrated is that customers are willing to invest further in PPE solutions. They're willing to pay for a higher price point product as long as we can clearly demonstrate that those solutions are solving pressing safety issues that they have. And we continue to innovate in products that are ambitious in terms of their safety objectives, they are also higher priced, and customers are willing to make those investments. So we'll continue to focus on that driver of growth. I talked earlier about service solutions. And I think what's key to this is that they rest on data assets. And I think it's become clear that a core element of value creation into the future is companies that can generate proprietary data assets. And in a world of AI, AI is only as valuable as the data assets on which it can operate. So we're seeking to further augment the data insights that Ansell has and can bring to Industrial and Healthcare customers, again, against that central goal of helping them mitigate and solve long-standing unmet safety needs. The resilient supply chain is going to be tested over the next 6 months. We feel, as I've mentioned already, we're in a good position competitively. One question we have not been able to resolve yet is whether domestic production in higher labor cost countries could be economically viable. Today, we still view that as unlikely, but circumstances may change, and we want to be ready to be the first should the economic equation change there. I view sustainability leadership as continuing to be an important focus of Ansell because our larger customers help themselves set sustainability goals. And as they look to deliver on those goals, they will be increasingly reliant on leading suppliers to deliver to them lower carbon solutions. And then all of this is only possible if we continue with wise capital deployment, focus on long-term sources of value through productivity and ensuring that all investments we make enhance our overall cash generation. So with success against those pillars, that should result in continued value creation through customer solutions throughout the diversity of our geographic presence, through productivity and through wise capital allocation. And now I'd like to turn it over to you, and I'm very interested in your questions. Thank you.
Operator: [Operator Instructions] Your first question comes from David Low with JPMorgan.
David Low: The line was quite bad for us. I'm not sure if that was everyone, but certainly, you were cutting out very regularly, unfortunately, which made listening challenging. Nonetheless, my questions. Neil, I noticed you said that the first half result was largely from your own hard work or the company's own hard work rather than market conditions. I guess the question I have is, I'd like to understand what you think market growth has been and what you think organic growth at the sales line is likely to be going forward, please?
Neil Salmon: Thanks, David. And apologies if you've had some disruptions to the quality of the call. So there are no specific market benchmarks that we can rely on to give us a figure that we could quote reliably to you as the market growth rates. However, as you've heard in the past, we've long said that we believe a base market growth rate to be around that 3% or 4% growth rate. I would say the industrial demand growth is probably a little lower than average at this time and consistent with the PMI readings that we've seen. Healthcare, if you include the unwind of the destocking effect, is clearly somewhat higher than that on a destocking adjustment basis, but in my view, still below the 16% growth that we recorded in Healthcare. So that's the best directional answer I think I can give you at this time, David.
David Low: All right. The other question I had is just coming to tariffs. And I guess you've described the competitive landscape as you see it, perhaps by division. Just trying to understand where you think the competitors are sorting and how much of an advantage Ansell supply chain could be, please?
Neil Salmon: Yes. So let me begin, first of all, with medical products sourced from China to the U.S. These tariffs were flagged some time ago by the previous administration. And generally, the industry has had quite a bit of time to prepare for those. So I anticipate that at this point in time, most people have found means of supplying medical products to the U.S. that are no longer so reliant on China sourcing. And that's true for Ansell, I think it's also true for most other industry participants. The next phase of tariffs is clearly still uncertain. Generally though, if we look at industrial products from China, that's where our best read is that Ansell is less exposed to China as a single-country source than the industry more generally. We know Ansell is already well advanced, as I said earlier, in reducing any sole-country dependence for products that includes China. We also know, of course, that other industry players are doing the same, but there's a limited amount of capacity available in other markets to absorb the very significant manufacturing base that China has built up over a period of time. So overall, we view Ansell as advantaged in terms of industrial supply. But generally, the other advantage we have is options. And really, I think that's the name of the game at this time. In a hard-to-predict environment, you need multiple options so that you can pivot according to policies as they change. And that is also an area that I think we have an advantage over most players in the industry. So I think my answer may have cut out a bit for you, David, but I hope that you were able to get the gist of that.
David Low: Yes. It, unfortunately, did cut out. I’ll hand over to the next person.
Operator: Your next question comes from Craig Wong-Pan with RBC.
Craig Wong-Pan: Just a question on KBU. The margins you achieved in this half, 24.7%, is ahead of where it's been historically. Could you just explain what has driven that margin expansion for KBU?
Neil Salmon: Yes. So I wouldn't say it's any particular specific strategy. It's more general continued strong execution by the KBU team in pricing and margin management. Overall, I would say, historically, I view the KBU business as having had a more mature, more sophisticated approach to revenue management. Whenever we do an acquisition, we always think about what are the attributes of both businesses that we want to reserve in the combined business or in summary, what's the best of both approach. And I would say KBU and the origin in Kimberly-Clark in terms of revenue management is more sophisticated than Ansell's historical approaches. And so we're looking to learn from that and extend that more broadly in Ansell. So no specific factors, just generally good execution and continued recognition by our customers that the products served by KBU are premium products. And especially in those high-specification clean environments, having that consistency and quality of supply is vital to those customers.
Craig Wong-Pan: Not sure if the line cut out there, but I'll just go on to my second question then. On the then Guardian industrial sales that did decline, are you able to share how much that declined in the period and whether that was kind of sales force related or there are other factors affecting that business?
Neil Salmon: So we're not taking out performance into those 2 segments. I would say that although I'm disappointed in the decline of the KleenGuard safety portfolio and I do believe that business has long-term growth potential, we did anticipate the risk of some decline as we have been navigating through this transitional period. And as a reminder, the sales team supporting the portfolio has still been the Kimberly-Clark sales team, and we're only cutting over to the Ansell sales team in this current period. So I think it's hard to disaggregate exactly what the factors were. I think perhaps there was also some moderate destocking in that portfolio. But what I am confident in is as the Ansell sales team gets their hands around KleenGuard products, they're excited to have them in the portfolio, having very positive customer conversations, we don't believe we've lost any material chunks of business. And so longer term, I view that the KleenGuard portfolio will also be a future source of growth as well as the Kimtech scientific-oriented portfolio.
Craig Wong-Pan: I think you cut out in the end there, but okay.
Operator: Your next question comes from Saul Hadassin with Barrenjoey.
Saul Hadassin: Neil, just coming back to Kimberly-Clark again. So can you just talk to this transitional sales arrangement that was in place or transitional services arrangement. I think our understanding was that would have an impact on the margin initially in this first half, particularly, although the margin itself, as Craig acknowledged, is higher than the pro forma margin that you guided to last year. So can you just confirm how those transitional arrangements actually impacted on the margin? And as you move out of or step out of those, is the expectation then that the margin on those revenues will step up significantly into the second half? Or is this a reasonable sort of run rate on the margin that you expect from KCPPE?
Neil Salmon: So they've had some effects on the SG&A costs in the business. So if you're talking EBIT margin, then yes, in the first half, we have been carrying the elevated cost of transition services versus the base SG&A cost in the former prior period, which did not include the premium of transition services. They don't have an effect on GPADE margin. So yes, as we begin to realize the SG&A synergy portion of our net $10 million number, we'll see SG&A cost of sales improve. That will begin in the second half, but the majority of that benefit we expect to still see in FY '26. So yes, that's how transition services expect to play through this period. The second consequence of transition services that we did talk to in the business case was that we did see some risk of short-term revenue weakness in the Industrial Safety business, the KleenGuard safety business. And that's the effect that I said did come through. But only in line with the expectations we had, not different to those when we did the original business case.
Saul Hadassin: I'll just ask my second question because this line is very problematic. Just on seasonality of the KCPPE revenues. So again, the $140 million for the first half, would you expect sort of normal seasonality like we see in broader Ansell business to impact on KCPPE i.e., stronger second half? Or is it different to the base performance of Ansell?
Neil Salmon: KCPPE is, I think, more evenly weighted first half, second half. Of course, Ansell -- at Ansell, we have less experience of seeing that seasonal weighting. Overall for Ansell, I would say we probably have a slightly higher weighting of earnings delivery first half to second half than historically, and that's mainly because of that -- those additional sales contributions that I called out in the first half. So those -- yes, that's what I would say about seasonality at this time.
Operator: Your next question comes from Andrew Paine with CLSA.
Andrew Paine: Just staying on Kimberly-Clark. You previously flagged some reserve sales leakage in that business. Just be good to know if you're seeing any of this post-integration. And what's the magnitude of that impact?
Neil Salmon: On the Kimtech Scientific portfolio, we have not seen any of that eventuate at this point, but also we're only just at the phase of integrating our go-to-market through leading channel partners and leading end users. So I also think it's too early to say definitively we won't see some of that revenue leakage. And so that's one of the reasons why at this point, I'm not changing my net $10 million cost synergy number and an assumption behind that was included in that. So we've got it covered, assuming it does eventuate and we're not seeing it yet, which is a good sign, but I think also too early to conclude that we won't see it in future. On the KleenGuard side, that's where we have already seen as anticipated, some revenue leakage. From here, we expect to turn that around and to get that business back to growth. And we'll be -- we're now moving past the high-risk phase as we integrate that business into Ansell fully. Clearly, we look to deliver on that integration milestone successfully and without any customer disruption. I'm confident in the preparations that we've made to ensure that integration date goes smoothly, but there's still a lot of work to be done in order to navigate that successfully through the second half.
Andrew Paine: That's great. And just one other. Are there any risks in the first half '25 that there was a pull forward of orders from customers due to tariff concerns either for you or your competitors?
Neil Salmon: So we're trying to track consistently what our customers report as their sellout rates being our channel partners and how that matches to our sell-in rates. And as we look at those 2 indicators of channel inventory, we see no major variation, which would indicate no significant early ordering by our channel partners. Of course, we can't see necessarily what's happening at the end user level. But generally, destocking or restocking effects happen more materially at the channel level. The only exception of those 2 that I've -- we've already mentioned. So customers work that -- it's not into tariffs, but customers were building safety stock of our fast-growing Mechanical new products. That's the $10 million figure we gave. And then in Surgical, we'd actually -- the back orders we had at the end of last year, when customers were below their target inventory level, and we've caught that back half now in the second half. So those are not tariff-related, but those are 2 specific factors that we have called out in this presentation. But leaving those aside, then no, we have no evidence of any major pull-through in revenue in the first half. So just to complete my last sentence, if you missed that, we have no major evidence of any revenue pull forward in the first half beyond the factors that I previously communicated.
Andrew Paine: Yes, that’s great. It’s cutting out, but that’s great.
Operator: Your next question comes from Vanessa Thomson with Jefferies.
Vanessa Thomson: And I just want to wish Zubair well in his next steps. I just wanted to ask what the branding strategy might be going forward? You've noted that there's a very high regard for the Kimberly-Clark product.
Neil Salmon: Yes. Good question. It's one we're working on currently, Vanessa. So yes, Kimtech and KleenGuard will both clearly be long-term parts of the Ansell brand portfolio. Also, the APIP and RightCycle service solution brands, which equally important. The question we're considering right now is to what extent we rebrand some Ansell products underneath Kimtech and KleenGuard. And we feel we have an overall brand family that will be very logical to customers will be clearly articulated between different product families and will further enhance the value of Kimtech and KleenGuard brands. So that's the current focus of ours, Vanessa, and I'll look to give you more details on that at our full year results.
Vanessa Thomson: And then my second question. Kimberly-Clark ran a fully outsourced model. It might have they had more sophisticated revenue management obviously profitable. I just wondered how you think that, that was achievable. And is that the additional benefit of the transaction in that you can enforce some of that stuff on the highly differentiated products?
Neil Salmon: Yes. So I think I've been clear in previous comments that our focus for this year is to get through the transition service space to secure the SG&A synergy and to ensure we have no customer disruption. And it was wise, I think, at that time, not to plan any major supply chain changes. But with the success we're having, Vanessa, certainly, our attention now moves more to what the optimal supply chain will be for the integrated business. Today, still, we have no major in-sourcing plans. We do see some optimization opportunities across the combined Kimberly-Clark and Ansell product networks. And potentially in the future, we will look to leverage in-sourcing as a source of value creation. And if so, that would be above the net $10 million cost synergy number that we've previously described to you.
Operator: Your next question comes from Laura Sutcliffe with UBS.
Laura Sutcliffe: I'm similarly struggling very much with the audio. So apologies if you've already answered any of this in the bits, I couldn't hear. Could you just maybe point us towards what would need to be true for you to be at the top and the bottom extremes of your guidance? What sort of conditions would we be looking at?
Neil Salmon: Zubair, do you want to pick up that question perhaps?
Zubair Javeed: Yes. So hopefully, you can hear what I'm saying here. But nevertheless, I understand everybody can hear the comments outside of the conference call. So hopefully, you can read back the transcript. But in terms of the top and bottom of the guidance range, basically, continued strong sales execution is clearly the first and foremost item that would get us to the top end of the guidance. So we do have in our own guidance estimates, some caution against sales execution, but we always look at that from a corporate perspective and can hedge down that number. But if we continue on the strong vein we have been doing from the first half, that clearly gets us there. Second big point of note is obviously the KBU integration. We're still cutting over into Ansell systems from that process. And if we have a very successful integration, which is what we expect, we should again deliver strong results. And then if end market demand conditions remain buoyant as they are in some of our segments, we again reaffirm and will end up at least towards the top end of that guidance range. Now clearly, at the bottom of the range, it's kind of the opposite to all of what I've said. If we don't have continued strong sales momentum, if there's any challenges with the KBU integration, and then I think everybody knows that big elephant in the room is the tariff situation and how that we'll deal with -- or how that will be covered around the globe. But as Neil mentioned, we kind of have probably more of an advantage in that regard than other players that are very highly reliant upon the China side. So hopefully, you could hear some of that and I answered your question.
Neil Salmon: [indiscernible] Thank you. Yes, yes.
Laura Sutcliffe: I actually can't hear you anymore, but I'll have a go with the second question and maybe read the transcript for your response to the first. You mentioned earlier on, Neil, that you're surprised and pleased by where your leverage has got to. Could I just ask why you're surprised by it given that a lot of what you flagged are things that you are reminding as you've told us before.
Neil Salmon: So perhaps surprise is too strong a term. I think it's just we've adopted -- we had some contingency in our cash flow projections, knowing that there will be some pressure on working capital, as with sales growth, of course. And so it's a question of teams delivering above target on a number of those objectives, which overall has contributed to that strong cash flow projection. So it's not that there were any major factors that came along that are anticipated at more continued good execution. And of course, we continue that focus through the second half.
Operator: Your next question comes from Dan Hurren with MST Marquee.
Dan Hurren: I have the same problem so I'll give it a go. Look, just a bit of a higher level one. During the troubles, Ansell appeared to really struggle visibility into the channel and to have the right level of inventory, et cetera. But you sort of seem to have quite a bit of confidence that your channel partners are all seeing the right amount of stock. Just wondering what's changed there and what degree of confidence you've got today?
Neil Salmon: Yes. So it's a very conscious approach that we've taken down, and thank you for raising it to be more mindful and disciplined in how we analyze the indicators we get from channel partners. And often, this is a case of triangulating through a number of sources. And I should also say that we don't have complete visibility. So we generally have pretty strong visibility in the U.S. We only have partial visibility in other countries. But when you extrapolate from those trends plus ongoing conversations with customers, including collaborative forecasting processes that we put in place with leading customers worldwide, that's what we rely on to give ourselves a read of channel inventory. So there's not a complete data set. The data service is not perfect, but we're much more rigorous in reviewing the information we do have to then incorporate that into our business planning processes. And the fact that, as Zubair reminded us a little while ago that even 18 months ago, we're able to call and it turns out to have been an accurate call when destocking would end, I think is an indicator that those processes are working for us at this time. So yes, it is a change that we made then and it's proving very beneficial. So it is a change we made then, and it is proving very beneficial to our long-term forecast confidence, yes.
Dan Hurren: That dropped out for most of it, but maybe I'll read the transcript. Last question, just GPADE organic margin was down. Could you just talk through the factors and the elements that drove that downwards?
Neil Salmon: Yes. So primarily, I'll make a couple -- one comment and then let Zubair comment if he has anything further to say, but it's mainly the investment in higher cost freight options in order to support that elevated demand growth. And there are also some of the -- often we see in new products in the initial growth phase, we don't make the same margin as we do on a much more mature products as we're still in the scale-up phase. So those would be the 2 reasons. Zubair, would you add to anything on GPADE margin?
Zubair Javeed: No, other than I would say that we still expect and are managing towards operating leverage in that segment. So as I said, we're not doing it in that business unit, and we'll expect further improvement over the future.
Neil Salmon: And we also saw some raw material inflation in the first half, as Zubair described, and we had pricing going into effect in the second half. So I think those are the key points to GPADE margin, yes.
Operator: Your next question is from Vanessa Thomson with Jefferies.
Vanessa Thomson: Follow-up question. Just wanted to ask about your longer-run EBIT margin expectation at both the divisional and inventory level, what should we be thinking in terms of modeling?
Neil Salmon: Yes. So that Industrial margin that we’ve printed consistently in the 15% to 16% is a margin I’m very satisfied by. I do see opportunities for further improving that, but also the option I’ll take, if it’s available to me, is to grow faster at a steady EBIT margin rather than only to drive margin in Industrial. And it’s good that we have both options, as you saw out in the first half. The Healthcare EBIT margin is still below where I would like it to be long term. And we made one good step along that journey today, but we’re far from complete in Healthcare EBIT margin. So I would like to get Healthcare EBIT margin back closer to its long-run average. But as I said before, it’s going to take a couple of years before we see Healthcare EBIT margins to improve back to that level. Thanks for the question, Vanessa.
Operator: Your next question is a webcast question from Mathieu Chevrier, and reads, "Based on your customers' historical ordering patterns, how much of the revenue growth is from restocking versus advanced purchasing?"
Neil Salmon: So I think the advanced purchasing question, I had before. And other than those items, that I called out, we don’t see significant advanced purchasing in the half. And there wasn’t any restocking always – so the current sales level was a closer reflection of actual end-use demand for our products as compared to the prior period where the demand on Ansell was below the end user consumption of our products as the channel work through excess inventory. So I’d characterize the half as neutral with regards to destocking or restocking with the exception of those 2 items that I've previously commented on. And also as far as we can tell, no significant buy forward ahead of either price increase or tariff potential implications.
Operator: You have another webcast question from Mathieu Chevrier, which reads, "you stated that in second half earnings will be supported by pricing. How much of that pricing has already been put in place versus what you're planning on implementing?"
Neil Salmon: So all those price increases have been agreed with customers at this point. So they're not major increases in the historical context of Ansell, but they are sufficient to offset the raw material inflation that we've seen in the first half. So already secured with customers, and I'm pleased with how our sales teams delivered that.
Operator: Thank you. There are no further questions at this time. I'll now hand back to Mr. Salmon for closing remarks.
Neil Salmon: So apologies, again, particularly I think to our analyst coverage for the disruption in the call, and we’ll make sure the transcript is available to you. A word briefly on Zubair. So yes, his last half year results with us, and what a pleasure it is to see Zubair to go out very much on a high. And so much of the value creation that we have reported on to you has been driven by Zubair, both his leadership of finance function and his embrace of broader supply chain strategies. But core to Zubair’s value creation thesis is long-term deployment of capital for shareholder value creation. And that aspect, I can assure you, will remain a part of Ansell going forward. But secondly, I want to thank the overall Ansell team. And there was a lot of work that went into this result. We’ve set ourselves 3 goals: To improve the base performance of the business to levels we haven’t seen before; and at the same time, to deliver on 2 very significant and complex investments, the productivity program and the acquisition of KBU. And so it’s a great testament to the hard work and commitment of Ansell people around the world that we’ve been able to deliver on all 3 value drivers at the same time and with results that exceeded our original expectations. So I look forward to continuing the story with you through the second half. And for now, thank you for your time and interest in Ansell today.
Operator: That does conclude our conference for today. Thank you for participating. You may now disconnect.